Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss NV5's Financial Results for the Fourth Quarter and Full Year ended December 30, 2017. Joining us today are Dickerson Wright, Chairman and CEO of NV5; Michael Rama, CFO of NV5; and Richard Tong, Executive Vice President and General Counsel for NV5. I would now like to turn the call over to Richard Tong.
Richard Tong: Thank you operator. Before we proceed, I would like to remind everyone that this conference call may contain forward-looking statements within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995, including statements concerning future events and future financial performance. The company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements except as required by law. I would also like to remind everyone that a webcast replay of this call will also be available via the link provided by today's news release and the Investors section of the company's website. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Global is strictly prohibited. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5, before returning the call over to Michael Rama, Chief Financial Officer, for a review of the fourth quarter 2017 and full year financial results and outlook for 2018. We will then open the call for your questions. Dickerson, please go-ahead.
Dickerson C. Wright: Thank you Richard and thank you to everyone joining us for NV5's fourth quarter and full year 2017 conference call. After the close of the market today we issued a news release announcing our financial results for the fourth quarter and full year ended December 30, 2017. We are pleased to announce that our fourth quarter of 2017 has been the highest revenue generating quarter so far despite the quarter four historically being our second slowest revenue quarter. Profit margins increased among all of our service lines in the fourth quarter and our backlog increased and we continued to minimize our consultant fees. In the fourth quarter total revenues increased 48%, EBITDA increased 70%, and net income increased 250%. Adjusted earnings per share for the quarter increased 207% to $1.26 per share compared to $0.41 per share in the fourth quarter of 2016. We are also pleased to report record results for the full year ended December 30, 2017. A revenue increase year-over-year of 48% and EBITDA increase of 61% and a net income increase of 107%. 2017 has been truly a phenomenal year. We have experienced significant wins resulting in inorganic growth of each of our five verticals. Let me recap some of the highlights. Our environmental team has seen tremendous growth. We've announced our work on two major pipeline projects with Trans Canada providing environmental compliance and inspection on over 200 miles of gas pipelines in Virginia and West Virginia. We also acquired Marron Associates in September which will strengthen our footprint in the Southwest states so we expect to see even more growth to come from this group. I would also like to highlight our energy teams continued work on stable trail transmission, a 515 mile natural gas pipeline which has added 14 million in revenue and contracted fees which we feel will lead to more energy transmission projects. From our energy power group we've announced 51 million in new contracts from national utility companies. We also announced in January our acquisition of Butsko Utility Design. Butsko densifies our platform providing additional leadership and technical resources that allow us to further grow our national energy platforms. Earlier in 2007 we announced the award for work on the Hong Kong Convention and Exhibition Center. This is a good example of subscription based recurring revenue engagement. Our most recent acquisition of CFA Building Services in 2018 strengthens our commitment to Hong Kong and densifies our international footprint. Concerning infrastructure work is now underway on almost 2 million of fees with the City of New York which had been moving through the city's contract and registration process. Contract registration is underway on additional 15 million in various projects that we hope to see begin within the next six months. In our construction and quality assurance vertical we've seen some great examples of cross selling. Our acquisition of Holdrege and Kull has teamed with our PM and Infrastructure Group to provide material testing for projects in the Bay Area and Central California and we will be providing project experience and expertise in ground water management to our infrastructure teams. Our project management vertical has previously announced a $14 million project with Merced County, California to provide full construction, administration and construction management on the county's campus Parkway project. We continue to expand our relationship with Caltrans in all districts evidenced by increased backlog and revenue in both 2017 and 2018. Our M&A pipeline remains solid. We continue to be active but selective with targets that will add value to all of our service verticals. I feel confident that our organic growth and growth through acquisitions have us on schedule to achieve our goal of 600 million in run rate revenues by the end of 2020. Now I would like to take a moment to discuss the positive effect of the Tax Cuts and Jobs Act of 2017 and NV5 plan to capitalize on this opportunity. As you have heard me say many times our real strength is our people. We not only want to use the positive Tax Cuts to reward our shareholders but also to share our success with all of our employees. In this regard NV5 has doubled the contribution to the profit sharing plan for 2017 for our employees. I would now like to turn the call over to our Chief Financial Officer, Michael Rama for a more detailed overview of the financial results for the fourth quarter and full year ended December 30, 2017 and our outlook for 2018. Michael. 
Michael P. Rama: Thank you Dickerson and good afternoon everyone. First, I will review the results for the company's fourth quarter and full year 2017 and then I will provide an outlook for 2018. Gross revenues in the fourth quarter of 2017 were $94 million, a 49% increase compared to gross revenues of $63 million in the fourth quarter of 2016. Net revenues for the fourth quarter of 2017 were $73.2 million, an increase of 43% from the fourth quarter of 2016. These increases were due to organic growth of approximately 6% as well as the contribution from acquisitions closed during 2017. EBITDA for the fourth quarter of 2017 was $11.8 million or 16% of net revenues compared to $7 million or 14% of net revenues in the fourth quarter of last year. During the fourth quarter of 2017 net income and earnings per share reflect a onetime tax benefit of $5.9 million from the enactment on December 22, 2017 of the Tax Cuts and Jobs Act of 2017 known as the 2017 Tax Reform. Thus net income in the fourth quarter of 2017 was $11.5 million, an increase of 250% compared to net income of $3.3 million in the fourth quarter of 2016. Excluding the impact of the Tax Reform Act 2017 net income would have been $5.6 million, an increase of 71% compared to the fourth quarter of 2016. Fourth quarter 2017 adjusted earnings per share which excludes the impact of amortization of intangible assets from acquisitions was a $1.26 per share versus $0.41 per share in the fourth quarter of 2016, an increase of 207%. Excluding the impact of the 2017 Tax Reform, adjusted earnings per share would have been $0.71 per share, an increase of 73% compared to the fourth quarter of 2016. Fourth quarter 2017 GAAP earnings per share was a $1.06 per share versus $0.31 per share in the fourth quarter of 2016. Excluding the impact of the 2017 tax reform GAAP earnings per share would have been $0.51 per share, an increase of 65% compared to the fourth quarter of 2016. Our fourth quarter 2017 adjusted and GAAP earnings per share reflects the weighted average shares outstanding of 10.9 million shares for the full year ended December 30, 2017 compared to weighted average shares outstanding of 10.5 million shares for the full year ended December 31, 2016. Now we'll review the results for the full year ended 2017. Gross revenues for the full year 2017 were $333 million an increase of 49% when compared to the full year 2016 of $224 million. Net revenues for the full year 2017 were $268 million, an increase of 48% when compared to the full year 2016 of $182 million. These increases were due to organic growth as well as contributions from our acquisitions closed during 2017. EBITDA for the full year 2017 was $39.7 million or 15% of net revenues, an increase of 71% for 2016. Full year 2017 net income and earnings per share was impacted by $5.9 million of onetime tax benefit from the 2017 tax reform. Net income for the full year 2017 was $24 million, an increase of 107% compared to net income of $11.6 million for 2016. Excluding the impact of the 2017 tax reform, net income would have been $18.1 million, an increase of 56% compared to the full year 2016. Adjusted earnings per share for the full year 2017 was $2.93 per share, an increase of 92% from $1.53 per share for the full year 2016. Excluding the impact of 2017 tax reform, adjusted earnings per share would have been $2.38 per share, an increase of 56% compared to the full year 2016. GAAP earnings per share for the full year 2017 was $2.23 over 10.8 million shares, an increase of 83% compared to $1.22 per share for the full year 2016. Excluding the impact of 2017 tax reform GAAP earnings per share would have been $1.68 per share, an increase of 38% compared to the full year 2016. As of December 30, 2017 our cash and cash equivalents were $18.8 million compared to $35.7 million as of December 31, 2016. At December 30, 2017 the company reported backlog of $296 million, an increase of 34% from $221 million as of December 31, 2016. Our backlog is an estimate of revenues to be recognized over a rolling 12 month period. Now moving on to our outlook for 2018. We are initiating 2018 guidance for revenues and earnings per share which we will refine as the year progresses. We expect full year 2018 revenues to range from $370 million to $405 million which represents an increase of 11% to 22% from 2017 gross revenues of $333 million. Net revenues is expected to range from $296 million to $324 million which represents an increase of 10% to 21% from 2017 net revenues of $268 million. We expect full year 2018 adjusted earnings per share will range from $2.92 to $3.21 per share, an increase of 23% to 35%. We expect full year 2018 GAAP earnings per share will range from $2.20 per share to $2.47 per share compared to $2.19 per share for the full year 2017. This guidance excludes anticipated acquisitions for the remainder of 2018. This completes our prepared remarks and now we will like to open the call for your questions.
Operator: [Operator Instructions]. And our first question will come from Jeff Martin with ROTH Capital Partners. Please proceed. 
Jeff Martin: Thanks, good afternoon.
Dickerson C. Wright: Hi, Jeff.
Jeff Martin: Can you hear me okay. Okay, Dick I was wondering if you could give us an update on what you're hearing in terms of settling Federal Infrastructure Bill and how various state and local government agencies are acting accordingly right now?
Dickerson C. Wright: Yeah, Jeff most of my answers of course will be -- answer to the question will be more macro. We have the wind at our back, there's a tremendous amount of not only discussion of infrastructure but there's a real need for it. So I think it's being addressed, I think it's a matter of funding and what we have seen right now that we haven't seen any significant Bill since the $605 billion Fast [ph] Act and a number of bills that we are benefiting from and I can mention how we are benefiting from it. But I think the funding now as I see has been from states increasing the gasoline tax. So we've seen it in a number of different states and I think that's the first thing. But I think there will also be other state means of taxation to fund it. So that is just what we are seeing. How we approach it, how NV5 approaches capturing this market, as you know we focus on working with the local municipalities and went with over 300 municipalities around the country. So we tried to be a resource for them that the big state transportation agencies that would benefit from the infrastructure also have those resources. So there's a modest federal funding for local municipalities for infrastructure and we'd like to position NV5 to capitalize on that. 
Jeff Martin: Okay, that's helpful and then could you give us a sense of timing of revenues in Q4. It sounds like New York was delayed yet again versus your expectation, were there any decisions in conjunction with that or there are any other larger contracts where there was some noise in the quarter in terms of timing?
Dickerson C. Wright: I would say not specifically. We always have when we do backlog we record the backlog with the expectation of what we're going to build on a rolling quarter. But sometimes projects are delayed and thanks Jeff for recognizing New York because New York went through a tremendous process from the award to the agency approval process to doing the work. So we did expect some delays there. But even more importantly we had a lot of weather issues in the quarter and as you know we didn't quite recover. But we're right there as far as the guidance on the revenue but rather than being on the higher end of the guidance for 2017 we were on the lower end of the guidance. But -- and this is just really because of project delays but business is really strong and in fact our backlog is so robust and I don't want to say this because I like to be -- I am a little bit superstitious at times but we -- I have never seen our business be stronger than it is on all areas of the country. So, the delays that we did see in the fourth quarter were just mostly local, up tremendous amount of it associated in the Northeast and particularly with the City of New York.
Jeff Martin: Okay and then a couple of quick items for Mike. What's the assumed tax rate in your guidance for 2018 and then secondly what was intangible amortization in dollars for Q4? Thanks.
Michael P. Rama: In our guidance the effective tax rate we are using is 25%, obviously it is reflecting the reduction from the 2017 tax reform and the amortization expense for Q4 intangibles is $3million.
Jeff Martin: Great, that is helpful. I will hop back in queue. 
Operator: And our next question will come from Rob Brown with Lake Street Capital. Your line is now open. 
Rob Brown: Good afternoon. 
Dickerson C. Wright: Hi Rob. 
Rob Brown: Could you characterize some of the things driving the backlog growth, I know you said sort of general strength across the board but is it certain verticals, is it certain geographies or maybe just some color on the backlog and the growth drivers?
Michael P. Rama: Well a significant amount of our revenue Rob of course comes from California. So we see a tremendous -- we see some great growth, double-digit growth in the backlog in California. But we're really seeing it across the country and by certain disciplines. We are very happy and pleased to see the natural gas pipeline business improving and additional work being because as you know that was in an area because of the rise of gas -- natural gas was certainly hampered. So we see some growth in our pipeline transmission business and then also we're seeing an awful lot of growth in our power generation business and our energy generation business. But this is the first time that I've seen solid growth in almost every geography in the country. But the disciplines we are expecting and seeing a significant growth in our energy transmission and energy production generation businesses. We're seeing some pent up backlog in growth in the Northeast because of delayed contracts. And then also in the overall macro picture we're seeing that although we don't depend a lot on the real estate private sector we are seeing some positive impacting growth in the land development area also. And that is mainly in areas in California and in Florida.
Rob Brown: Good, thank you and then sort of stepping back, your organic growth rate kind of discussion to get to your goals in 2020 where you are at when you're thinking in terms of organic growth rates and then I guess the acquisition component of that goal?
Michael P. Rama: Well in our budget guidance we've given about -- we are looking at 8% or so of organic growth, a little less than that in 2017 but a tremendous amount of that is also in -- of course it takes us some time to have our profit improvement with our acquisitions and really drive their marketing programs. So as we have acquisitions join us we only account the organic growth on that piece of business as to when they've joined us. So, it is a little -- it's not as precise on the pure organic growth. On the macro picture it's very accurate. So I think we can expect 8% and we are anticipating 8% this year in our budgeting process.
Rob Brown: Okay, great, thank you. I will turn it over.
Operator: The next question comes from Mike Shlisky with Seaport Global. Your line is now open. 
Michael Shlisky: Good afternoon guys. So I wanted to start off with your sub-consultants line, it looks like you're using sub-consultants with the highest that has been in the number of years both in dollars and as a percent of revenues, can you give us some more color as to what's going on there, when that might change in 2018?.
Michael P. Rama: You know we anticipate 2018 still running around 19% to 20%. The fourth quarter did spike up a little bit, we had some work that actually got -- on some projects in New York that utilized more sub-consultants. Just the mix of those projects in the quarter was to that realm but overall from a 2018 macro perspective we're looking at around still at the less than 20% on a sub-consulting basis. 
Dickerson C. Wright: Yeah, just to add to what Mike said, our mix is about 70% public and to the extent that any quarter is impacted by more public work than our sub-consultants make up a little because most of the DBE requirements are a minimum 17% and we've seen even higher than that. So as the mix of public work is impacted in any one quarter you may see a swing but as you've heard me say many times we -- you can't really -- you have to measure something to know if there's real progress. And so we've come down from a high of almost a third over 30% sub-consultants and now we're targeting and I know in the budget process we're targeting about 19%.
Michael Shlisky: Okay, can you give us a sense as to the regulatory pipeline and environment surrounding health and safety or structural integrity with the new presidential administration, I mean have things changed greatly in that environment, have they actually gotten less stringent or can you give us a sense as to kind of where the -- where the trends are going in that area?
Dickerson C. Wright: Well, obviously our business is based on regulatory requirements and supporting regulation. So, I can just give you the general view of our position. There are -- projects are being released quicker, there are more projects and more targets to go after so we are not affected. If anything we are benefiting by the gross number of projects so the total number of projects that have been released and I have not seen any -- really anything yet that has lowered the environmental or health safety requirements on any projects. And many of the projects that get approved already have the standards in them or they wouldn't be approved. So if anything it's not going to be as retroactive but as we move forward with this administration we may see lesser of regulatory requirements but the opposite of that is we're seeing many more projects coming on line that were delayed in the permitting process. 
Michael Shlisky: Okay, okay, and just a quick model question as I try to get the margins figured out here. Again when you just purchased the last few months give us a sense as to what do you think the run rate is going to be for the D&A and for the facility related expenses going forward? 
Dickerson C. Wright: Oh, for depreciation and amortization they continue to stay the same. We've bought this year, you're speaking of this year in 2018 and entering into 2018 we made a small acquisition which is a drone aerial surveying and mapping which we really like, cutting edge and with our LiDAR services. The depreciation is pretty much built into that and it's not much higher than what our standard depreciation is. We acquired -- in last month we acquired a mechanical electrical plumbing design firm that in our -- in Hong Kong that really we've had a long legacy history with this firm. And we don't see a tremendous increase in amortization or depreciation as that is. As far as the price and good will amortization I'll leave that to Mike. 
Michael P. Rama: Yeah, Mike for the quarter our depreciation and amortization was around $3.5 million and as I mentioned earlier that 3 million was just on the amortization side of the intangibles. So that mix is still expected to go forward with that, with those expenses if you will given the acquisitions we've had to date. And so that expectation should be pretty much going forward. 
Michael Shlisky: And then on the other question where on the accelerated expenses, does that ramp up with new acquisitions in 2018?
Michael P. Rama: Our facilities costs been running around 3.5% to 4% and we look at that as we go do our due diligence. We see that continuing and if anything it could be decreasing as we integrate other offices together. So we look at that metric very carefully within our groups as we go through the acquisition and due diligence. 
Dickerson C. Wright: We're running under 4% on facility expense to revenue and the industry standard middle mean in the industry has been almost 6%. 
Michael Shlisky: Excellent, got it. I will jump back in queue. Thank you very much.
Dickerson C. Wright: Okay, thank you. 
Operator: The next question comes from Janet Ishwar [ph] with Singular Research. Your line is now open. 
Robert Maltbie: Hello, this is Robert Maltbie. I'm sitting in for Janet. Solid quarter, congrats on the quarter guys.
Dickerson C. Wright: Thanks Robert. 
Robert Maltbie: Few quick questions and my phone went silent so I'm not sure if this has been asked yet. Do you have a number on your backlog year-over-year growth?
Michael P. Rama: Yeah, our growth was -- we acquired, we did acquisitions during the year that brought in backlog. But our organic growth on our backlog it was 10% year-over-year. So and [indiscernible] our budgets filled in around 8% organic growth so it's consistent with our growth and our backlog. 
Dickerson C. Wright: And total backlog as you see was about 295 million to 296 million and last year was 221 million. So, if it is total growth in backlog it's 34%. 
Robert Maltbie: Wow, and as you say the environment -- the solid growth across the country and in most of your verticals, you never really see anything quite like that and so is there a vertical that is showing a better margin pick up or is it pretty consistent?
Dickerson C. Wright: That's a very good question. Overall our margin -- gross margin has improved almost 50%. There are some inherent businesses that have a higher gross margin which that is our environmental sciences business that tend to have a higher gross margin. Our program management business particularly in the building and vertical side tends to have a higher gross margin when I say higher decent gross margins above 50%. And then in our forensic group which is part of our C2A group their gross margin is significantly higher than 50% to 55%. So, those are the areas that have the higher gross margin. And then the areas where we look for scalability is in the overall platform which includes infrastructure and it includes all of those. And so what increases our gross margin is obviously the main number one thing is utilization of our employees and the optimization utilization. And then Robert what we're trying to do is go to subscription based revenue on many of our projects like the Hong Kong Convention Center where we have a reoccurring revenue stream where that tends to have a higher gross margin because many of the fixed costs have been paid for whether you're doing the work, it is not labor driven as much.
Robert Maltbie: Terrific and did you mention anything or give any color or guidance for the acquisition pipeline for 2018?
Michael P. Rama: Yeah, a great, great question. Let me give the end of the movie first. We feel very comfortable that we will hit our goal of 600 million by 2020. The mix in that to get there we have said and this is ground up from our people, it is about 50% through acquisition, 50% through organic growth. We think actually the acquisition will be adding much more than that. We have had tremendous opportunities to really spike that revenue Robert with larger acquisitions but we're very selective, we tend to operate at a higher margin in that industry and it is represented by growth, by EBITDA, by gross margin. So we want to be -- we have the opportunity now as we keep building our platform to densify it and be very selective. We do have had opportunities for much larger acquisitions and the key thing that we drive on is we don't want anything that internalizes our process. We want acquisitions and we're looking at very large ones and we have opportunities and we continue to have opportunities but we want to make sure that it's not going to be something that internalizes our organization or makes us duplicate processes and services where we already have geographies and we already have service line. So acquisition pipeline is we say no, much, much more than we say yes. We're very, very active. I don't want to get too much in forward thinking but I can tell you we have a very robust due diligence process going on right now and we have a significant amount of opportunities. But the main thing is we want to continue the process that we have now which is delivering high returns for our shareholders and growing the company.
Robert Maltbie: Thank you and final question and I'll get back in the queue, so with this -- this is really more theoretical than substantive, with this emergence of burgeoning brouhaha between the Fed and the State of California and California being maybe your largest state, do you -- are you thinking about any possible exposure in funding there?
Dickerson C. Wright: Well, I think we can't really address things that we can't control. But I think -- I just like to say some of the overall picture, California is the seventh or eighth largest economy in the world. It is and so it's going to -- it's going to take a tremendous amount to stop what's going right now. Right now the California economy is extremely strong and so if there is any penalties or hold backs or this thing is before it even has any immediate effect it's going to go through the judicial process to the Supreme Court and many of those things before anything is enacted. So what I like to say Robert is many of us and many of the investors and people that have been with us since we started this company in 2010 and at the end of 2000 [ph] it is still within that Great Recession California was going to fall off the end of the cliff. Now I mean the budget is so strong we have continuing ongoing work and just -- I would just say fasten your seat belt because there is some significant opportunities and wins that are for us going forward that are in our Sun Belt states, one of California, Florida and in the Southwest. 
Robert Maltbie: Terrific, thank you Dickerson. 
Operator: [Operator Instructions]. We have a follow-up question from the line of Jeff Martin with ROTH Capital Partners. Your line is now open.
Jeff Martin: Thanks, hey Dick I was just curious if you -- if we could look back the last two years, you bought about 125 million of revenue in 2016, bought my tally close to 85 million to 90 million in 2017. Should we expect that range to continue in 2018 and do you have any specific areas that you're more excited about in energy environmental have been two major areas of focus more recently. But just curious if you can kind of help us categorically and then from our --? 
Dickerson C. Wright: Obviously you are having my prophetic vision is I see said the blind man but I would like to say I think that we are going to be -- I would look for the acquisition to be more strategic and one place that we will really support our platform so that it will introduce us to new service lines with clients like we mentioned Butsko which has done very well for us. And what with CFA is doing for us in Hong Kong which gets us to the level 2 which is the government mandated side that you need to be for many other projects. So we will continue to look for those strategic acquisitions. However we're having the opportunities now for much larger acquisitions and when I say larger it's usually 50 million to 150 million. So Jeff we feel that we will -- we should easily… [Multiple Speakers]. But maybe those were big. We have the wonderful blessing of being more selective and so we will be selective in the acquisitions that densify our platform and we have opportunities of larger. So I don't know the number but the revenue is very conservative that you have indicated, if you're penciling an 80 million to 100 million in acquisition revenue per year that's a very fair conservative number.
Jeff Martin: That's helpful. Thank you Dick. 
Dickerson C. Wright: Okay. 
Operator: At this time this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Wright for closing remarks